Operator: Good day, ladies and gentlemen, and welcome to the Q4 2014 Cabot Earnings Conference Call. My name is Mark, and I will be your operator for today. At this time all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to your host, Erica McLaughlin, Vice President of Investor Relations. Please proceed.
Erica McLaughlin: Thanks, Mark. Good afternoon. I would like to welcome you to the Cabot Corporation earnings teleconference. Last night, we released results for our fourth quarter and full fiscal year 2014, copies of which are posted in the Investor Relations section of our website. For those on our mailing-list, you received the press release either by email or fax. If you are not on our mailing-list and are interested in receiving this information in the future, please contact Investor Relations. The slide deck that accompanies this call is also available in the Investor Relations portion of our website, and will be available in conjunction with the replay of the call. I remind you that our conversation today will include forward-looking statements, which are subject to risks and uncertainties, and Cabot's actual results may differ materially from those expressed in the forward-looking statements. A list of factors that could affect Cabot's actual results can be found in the press release we issued last night, and are discussed more fully in the reports we filed with the Securities and Exchange Commission, particularly in our last annual report on Form 10-K. These filings can be found in the Investor Relations portion of our website. Also as we typically do each year, I would like to remind you that over the next several weeks in connection with the vesting of restricted stock awards issued under our long-term incentive equity program, officers of the company may sell shares to pay tax and other obligations related to their award. I will now turn the call over to Patrick Prevost, who will discuss the key highlights of the company’s performance. Eddie Cordeiro will review the business segment and corporate financial details. Following this, Patrick will provide closing comments and open the floor to questions. Patrick?
Patrick Prevost: Thank you very much, Erica and good afternoon, ladies and gentlemen. It’s my pleasure to share with you today our fourth quarter and full fiscal 2014 results. In fiscal 2014, we delivered a record $593 million of adjusted EBITDA and adjusted earnings per share of $3.43. We achieved this performance from several factors. First, we delivered record setting performance in Reinforcement Materials, as a result of the successful commercialization of our new China capacity, the addition of NHUMO in Mexico, growing demand for our products and the benefit from raw material purchasing savings and energy efficiency investments. Second, we also delivered record-setting results in our Performance Materials segment. This was done through close customer interactions to secure high volumes in our key end-markets and through the introduction of a number of new products in existing and new applications. And finally our elastomer composites business contributed to the company’s result, as we transitioned into the royalty phase of our technology licensing agreement with Michelin. In addition to our earnings and adjusted EBITDA growth, we generated strong cash flow from operations of $305 million and collected the final $215 million of cash for the sale of the templum [ph] business. During the year we returned cash to our shareholders, we increased the dividend by 10% and we repurchased $11 million worth of shares. In addition, we reduced our debt by $226 million. This reduction in debt along with the outlook for the company resulted in Standard & Poor’s reaffirming our BBB+ investment grade credit rating. In 2014, we also saw the advancement and completion of several projects to expand our global competitiveness. In the Reinforced Materials segment, we successfully started up our new 130,000 ton carbon black plant in China. And the commercialization of this new capacity has been progressing as planned. And of course, this is evident in the volume growth we delivered this year. We also acquired our partner’s share of our carbon black joint-venture in Mexico, and this added another 140,000 tons to our capacity, our global total capacity of over 2 million metric tons. Another significant project is our lignite mine in Texas. The mine will be operational in the coming week and we will begin supplying feedstock to our Purification Solutions operations in Texas. And finally we also completed the divestiture of our Security Materials business for $20 million. We were also pleased to see the launch of a number of new products this past year. Many of these new products are of the highly specialized applications. They include fumed silica for adhesives, carbon additives for batteries, carbon black reinforcement materials with higher tread applications, specialty carbons and fumed silica additives for toner applications and activated carbon for sugar decolorization and oil-and-gas applications. The number of new products is a testament of our innovation and technology capabilities and is critical in our continued drive to remain the leader in our various businesses. Finally, we executed important key initiatives such as the transition of our business service center from Belgium to Riga, Latvia. This move will reduce our costs and improve our efficiency. We also progressed our commercial excellence initiative. Commercial excellence is about strengthening our processes, capabilities and tools across the company. This effort is helping us gain a better and deeper understanding of the overall market environment and our customers’ needs. It allows us to be more competitive, react faster to market changes and ensure we deliver a better value proposition to our customers. As you can see from these examples we continue to be highly focused on actions to improve the short and long term performance of the company. We now turn to the fourth quarter. We delivered another strong quarter of volume improvements in our Reinforcement Materials and Performance Materials segments. It led to 9% higher adjusted earnings per share as compared to the fourth quarter of 2013. In addition, Purification Solutions operations have stabilized and results improved as a result of a one-time $9 million insurance payment. The insurance proceeds are recovery for business’ interruptions and property damage. We also continued our strong cash flow generation with adjusted EBITDA in the quarter of $147 million and $44 million reduction in net working capital. We use this strong cash flow to turn our debt-to-EBITDA metric to under two-times, after two years of being at a somewhat more elevated level. As a result of strengthening our balance sheet we were able to begin repurchasing shares again in the fourth quarter. I will now turn it over to Eddie to discuss the financial results in more detail. Eddie?
Eduardo Cordeiro: Thanks, Patrick. Adjusted EPS for the fourth quarter of fiscal 2014 was $0.85, which was an increase of 9% over the prior year quarter. Total segment EBIT from continuing operations was $108 million, driven by strong volumes in our Reinforcement Materials and Performance Materials segments. I will now discuss the details at the segment beginning with reinforcement materials. During the fourth quarter 2014, EBIT for reinforcement materials increased by $9 million as compared to the fourth quarter of 2013. The increase was due to 11% higher volumes as compared to the prior year. The volume improvement was driven by the commercialization of our new China capacity, our acquisition in Mexico and growth in North America. Benefits from yield and energy efficiency investments also contributed to the improvement in earnings. Sequentially EBIT was $5 million lower than our third fiscal quarter due to lower raw material purchasing savings and a less favorable product mix. Volumes in the fourth quarter were consistent with the third quarter as growth in China and Southeast Asia offset declines in South America and Europe. We are pleased with our record-setting performance this year as our strategic actions have contributed significantly to improving EBIT by $54 million or 29%. Our utilization remained in the 80% to 85% range in the fourth quarter and we have been operating at this level of utilization for the last year. As we look ahead we expect a modest level of global growth in 2015. With declining oil prices in the first fiscal quarter we anticipate that many of our customers will be managing their inventories down leading into the calendar year-end. Therefore, we expect fiscal year Q1 2015 volumes to decline from the fourth quarter of 2014, as a result of the global macroeconomic conditions, seasonality effects, and inventory corrections. In addition to muted volume growth we’re also seeing headwinds in 2015 related to lower raw material purchasing savings and the weakening of various foreign currencies against the U.S. dollar. In addition, we are currently seeing an increasingly competitive environment as we negotiate contracts for 2015. All-in-all, if we do not see an economic recovery early in calendar 2015, we expect the year to be somewhat more challenging than 2014 for this segment. Now, turning to performance materials, EBIT increased by $3 million as compared to the fourth quarter of 2013, due to 2% higher volumes in specialty carbons and compounds, and 5% higher volumes in fumed metal oxides as demand improved in our key end-markets. Sequentially, Performance Materials’ EBIT decreased by $5 million primarily due to a less favorable product-mix, volumes in the fourth quarter in specialty carbons and compounds were consistent with our third quarter while volumes improved by 1% sequentially in fumed metal oxides. While we are pleased with the record setting performance this year and looking ahead, we expect to see continued growth in automotive, construction and consumer applications in 2015. However, I will remind you that Q1 is also typically a seasonally lower volume quarter for this segment. Advanced Technologies’ EBIT decreased by $11 million from the fourth quarter of fiscal 2013. The EBIT decrease was driven primarily by lower sales volumes in the Specialty Fluids business. This cause EBIT in that business to decline from $18 million in the fourth quarter of fiscal 2013 to $7 million in the fourth quarter of fiscal 2014. Sequentially, Advanced Technologies EBIT increased by $1 million, as compared to the third quarter of fiscal 2014, due to higher volumes in Aerogel. In fiscal 2014, we delivered an earnings level relatively consistent with 2013, despite lower Specialty Fluids results due to higher royalties from our elastomer composites business. As we look ahead, we expect a lower level of project activity Specialty Fluids and we will continue to optimize our cesium supply by being more selective on projects. We continue to see opportunities in the European building and construction markets for Aerogel business and commercial printing growth for Inkjet Colorants business. EBIT for the fourth quarter fiscal 2014 was $1 million in Purification Solutions. Adjusted EBITDA for the fourth quarter of 2014 was $14 million, which compares to $7 million for the similar period last year. The adjusted EBITDA increase of $7 million year-over-year was driven by the receipt of $9 million benefit related to business interruption and property damage insurance recoveries for operating issues experienced in late fiscal 2013, and early fiscal 2014. Sequentially Purification Solutions adjusted EBITDA increased $7 million as well due to the receipt of the $9 million of insurance recoveries. Volumes increased 14% sequentially due to seasonally higher water in air and gas volumes. But this was offset by less favorable product mix and the absence of $2.5 million royalty payment we received in the third quarter. Over the last few months, we’ve made progress stabilizing the operations of the business as a result of our investment in this area. In addition, we’ve launched new products and implemented price increases in the non-air and gas applications. As we look towards next year, we expect Performance to improve in the second-half of the year as demand for our mercury removal products increases following the max implementation. We entered into two supply agreements with coal-fired utility customers that we announced earlier this week, and we have been awarded another two supply agreements that will be announced shortly. Based on the agreements that have been reached to-date with customers preparing for max implementation in 2015, we’ve been awarded approximately 50% of the volume, which is consistent with our target for mercury removal. We’re in active negotiations with many additional customers as the industry prepares for the start of the new regulations. We also recently announced the capacity expansion in Canada with our joint venture partner to meet the future demand for mercury removal products. This expansion is for £35 million and will cost the joint venture approximately $80 million. And we'll produce Cabot benchmark DARCO Hg family of mercury removal products. We believe, this expansion will provide sufficient capacity to meet the growing demand for mercury removal. I will now turn to corporate items. We ended the quarter with a cash balance of $66 million. Our liquidity position remains strong at $786 million. During the fourth quarter, we generated $147 million of adjusted EBITDA, reduced net working capital by $44 million and received $20 million for the sale of the Security Materials business. Uses of cash during the fourth quarter included $91 million for the repayment of debt, $56 million for capital expenditures, and $11 million for share repurchases. We recorded a net tax provision $40 million for the fourth quarter, which included $80 million of charges for tax-related certain items. The most significant tax certain item was at $20 million non-cash valuation allowance taken on deferred tax assets. Excluding the impact of certain items, our operating tax rate and continuing operations for the fourth quarter and full fiscal year was 27%. As we look towards 2015, we expect capital expenditures to be between $200 million and $250 million. We anticipate our operating tax rate for fiscal 2015 will be between 26% and 28%. I will now turn the call back over to Patrick.
Patrick Prevost: Thank you, Eddie. We are pleased to have delivered the fifth consecutive year of adjusted EBITDA growth. Our focus on emerging market capacity growth, margin expansion, new business and product development, as well as portfolio management has allowed us to demonstrate continued earnings growth and a strong cash flow generation. As we look ahead, we expect modest demand growth in 2015. This is a result of a weak and uncertain global economic and geopolitical environment. The recent decline in oil prices continues to reflect low expectations with regard to near-term recovery. In addition, we are also not seeing a political environment that should boost consumer confidence. In the near-term, the continued weakness in Europe and South America, a slowing demand environment in China and the recent weakening of various foreign currencies against the U.S. dollars, all headwinds as we enter 2015. Of course, we will leverage our global reach and industry leading positions, in order to offset these challenging conditions, and continue to deliver value to our shareholders this coming year. In the longer-term, we believe fundamentals will prevail and that continued low demand levels cannot be sustained for an next extended period of time. Thank you very much for joining us today. And I will now turn the call back over for our Q&A session.
Operator: (Operator Instructions) Your first question comes from James Sheehan from SunTrust. Please proceed. James, please proceed. Please make sure your phone is now in mute, sir. Okay, I'm going to remove James from the queue. Your next question comes from the line John Roberts from UBS. Please proceed.
John Roberts – UBS Investment Bank: Good afternoon.
Patrick Prevost: Good afternoon, John.
John Roberts – UBS Investment Bank: Could you give us a sense of how the surcharge implementation is going on carbon black, I would suspect that's challenging given you mentioned the contract negotiations maybe challenging?
Patrick Prevost: So, as you can imagine, John, there has been varied reactions to the environmental surcharge and this has been depending on the customer and their situation. But, of course, this is just one factor from many. But clearly, we’re dealing with a situation, where we're slightly ahead of the industry with our EPA settlement. And I mean this is the decision we made, because we wanted to be sure that we could offer security supply in the long run and because we took this leading situation where – when this necessity to implement the surcharge. We believe that, this will eventually impact the entire industry. What we hear is that, all of our competitors are in negotiation with the EPA, and we believe that this will affect everyone and we are also certain that our customers will value our commitment to the North American market that we have displayed through this settlement with EPA.
John Roberts – UBS Investment Bank: As a follow-up, Eddie, you mentioned that the Performance Materials EBIT seasonally is down in the December quarter on a sequential basis. Will it have an inventory correction in the specialty blacks area like similar to, but maybe more muted in the rubber blacks area, so that, it might be down year-over-year instead of just that sequentially.
Eduardo Cordeiro: I think the reference, John, first of all was to volume seasonality. Occasionally, we do see that it really depends on the macro conditions. I think a couple of years ago, we saw a short inventory drop, but it really will depend on how the macro environments for those markets play out over the next couple of months.
John Roberts – UBS Investment Bank: Okay. So you haven’t seen anything yet in October and it’s really going to depend on November, December, guys?
Eduardo Cordeiro: That’s correct.
Patrick Prevost: The end markets are quite different, so they do behave quite differently.
John Roberts – UBS Investment Bank: Okay. Thank you.
Patrick Prevost: Thank you.
Operator: Your next question comes from the line of Kevin Hocevar. Please proceed.
Kevin Hocevar – Northcoast Research: Thanks for that. Good afternoon, everybody. I was wondering in your outlook commentary for the Reinforcement Materials segment, I wondering if you could give a little more color. It sounds like you are facing some headwinds in terms of non-repeated some raw material purchasing savings that you had last year, it sounds like the volume outlook is fairly modest. Do you think you can grow earnings in this segment in 2015, or are we looking at probably relatively flattish earnings environment?
Patrick Prevost: So the environment is as you could hear from an earlier prepared speech more challenging than we would like to see it. I would say that, this is reflecting, also indications we get from the tire industry at this stage that is looking at a fairly muted 2015 with fairly low growth. We – in addition to that are facing some pressures with regard to lower feedstock savings. We're seeing that these opportunities have gone away and these opportunities that we were able to see for the last three quarters. And then in addition to that, we're also seeing – this is for the entire company, the foreign exchange pressures coming from a strong U.S. dollar. Now, if you go to the various geographies, you certainly are aware of the Europe environment, where after some pickup at the beginning of the year, we're seeing a serious flattening of the economic picture. The South American environment is quite difficult, where most likely not be improved by the re-election of (inaudible), so we're certainly looking at an extended weak environment. And then China will likely see some deceleration, although, I think, we are going to see some more short-term effect in China, which could be related to the – will be related to the buildup of exports to the U.S. to deal with the tariff situation, which could lead to weaker sales in China and will also affect the North American tire environment for a while. So these are all factors that we are taking in and we're trying to draw into a picture. And I would say that the picture currently for the quarter is a declining environment. So this is our first fiscal quarter of 2015, compared to the fourth quarter of 2014. And as I mentioned earlier, fairly muted growth for next year, of course, things can change fairly quickly, but right now, I would say, not a highly optimist environment ahead of us.
Kevin Hocevar – NorthCoast Research: Okay. And then in terms of the Purification Solutions segment, I would imagine the visibility is fairly good with all the contracts you’ve been getting at this point. So do you have a sense for what type of swing in EBITDA we can expect from the $35 million or so million you’ve earned in 2014?
Patrick Prevost: Well, we're certainly looking at a pickup in the EBITDA performance in the second-half of our fiscal year. We are very pleased with the development of the markets and our ability to capture business, where capturing business at the rate of market share that we have targeted for the business in and around the 50% share. We still have a number of contracts to be negotiated, but things are on tack here, and we will – and we're continuing to see a request for quotations coming through to us at a fairly rapid pace. As you remember, the implementation is April – in the middle of the April of 2015, so a lot of the utilities are now getting organized and we've got a bunch of test going on as we speak to make sure that our products are perfectly aligned with the needs of our customer. So all-in-all I would say, things are nicely on track with regard to the max implementation.
Kevin Hocevar – NorthCoast Research: Okay. And then just final question with where the oil prices have gone recently, are you seeing any pressure in the Specialty Fluids business and then particularly in terms of job quotes, has that reduced the amount of deep-sea drilling that you are seeing?
Patrick Prevost: So, of course, the oil price is a factor, but just as a reminder, we are an ultra-niche play in the oil and gas industry, and we tend to be used in very specialized application. So creating a direct relation between the recent oil price decline and the activity is quite difficult to make. In general, what we said is that, we've got a slightly lower project pipeline ahead of us, but as you know, and you’ve been telling us for some time now, you know that the business can be fairly uncertain in terms of a quarter to quarter, and we are just going through a weaker phase as we speak.
Kevin Hocevar – NorthCoast Research: Okay. Thank you very much.
Patrick Prevost: Thank you.
Operator: Your next question comes out from the line of Laurence Alexander. Please proceed.
Laurence Alexander – Jefferies & Company: Good afternoon. Two questions, first, can you give us a sense for how to gauge the possible rent in the CEC business over the next couple of years? Is there anything externally that we can look at to – so it would be tailwind [ph] when that business should take have a step up in profitability?
Patrick Prevost: So, Laurence, the business is structured in a way where over a period of time, we are going to receive royalty payments of about 4 million level a quarter. But the – there is no factor that would ramp this up in the medium term.
Laurence Alexander – Jefferies & Company: And I guess, as you think about the contract, can you walk through a little bit as you think about the contract negotiations you’ve seen in Reinforcement Materials. And your longer-term goal of having a fairly stable unit margin, excluding raw material tax route. How well can you reconcile those two or should we expect some degree of margin erosion even as the feedstock costs come down?
Patrick Prevost: I would say we – clearly, our intent is to work closely with our customers and provide them with a powerful value proposition. The – in the near-term, you can see some competitive pressures developing as the environment changes. We are going to one of these periods as we speak. If I look at the fundamentals of the business, I would say that we've not seen any increase in supply in the last year or two of any significance and growth is continuing although at a lower rate than we've seen historically. So at some point we believe there is going to be a pickup in that annual growth rate just because of general factors. And we still think that a lot of the consumers out there are delaying any purchases of tires, we think that we're running at a low rate of consumption. So as we look forward, we think that the supply demand environment should be returning to a favorable or continuing to be favorable for the carbon black industry. But again, as I said in the earlier speech, we're concerned right now, because we were – we're seeing the combination of oil prices coming down, and the potential destocking that tends to happen in conjunction with that in the first fiscal quarter.
Laurence Alexander – Jefferies & Company: Right, understood, but I guess, what I’m getting at is, are you looking at a structural change in your contracts, so once you back out the near-term fluctuations, were you thinking about a lower unit margin benchmarks for 2016, 2017 until the supply-demands’ picture sort of improves in that market type.
Patrick Prevost: Now, so just as a reminder, Laurence, we contract somewhere in and around 50% of our business and most of these contracts are annual. So they get reset after a year. And I would say, there is a lot of factors that get into this picture. Some of these contracts are regional, some are global. There is a range of different products from – more specialty products to the more mature products. So I would say it’s a fairly complex environment as we move forward. I look at this as a temporary situation that we’re going through and we’re clearly looking at optimizing the arrangements that we have with our customers.
Laurence Alexander – Jefferies & Company: Thank you.
Patrick Prevost: Thanks.
Operator: Your next question comes from the line of Ivan Marcuse from KeyBanc. Please proceed.
Ivan Marcuse – KeyBanc Capital Markets: Hi, thanks for taking my questions. First one is, what drives the mix reduction in rubber black, is this in tire or what’s sort of the – what changes quarter-to-quarter that would drive the mix up and down?
Eduardo Cordeiro: It’s typically Ivan, specific products in specific geographies.
Ivan Marcuse – KeyBanc Capital Markets: Got it. So it’s not a function that more truck tires versus more passenger tires.
Eduardo Cordeiro: I’d say, that’s probably more consistent across time.
Ivan Marcuse – KeyBanc Capital Markets: Okay. Then in your cash flow for the quarter, what was the biggest delta between this year and last year what drove the reduction of, I guess, $150 million in cash flow from operations in the quarter, if working capital was $44 million source?
Eduardo Cordeiro: Yes, from a year-ago quarter, Ivan?
Ivan Marcuse – KeyBanc Capital Markets: Yes, so like a year-ago your cash flow from operations was…
Eduardo Cordeiro: I don’t have the number in my fingertips but we had quite a strong working capital push at the end of last year, which I’m guessing would have driven a much larger improvement.
Ivan Marcuse – KeyBanc Capital Markets: Okay. And…
Eduardo Cordeiro: Well over a $100 million.
Ivan Marcuse – KeyBanc Capital Markets: Was the – so was the working capital what you’ve seen, I think you saw also the year before that you also saw sort of a similar type of working capital reduction so why that has not happened this year.
Eduardo Cordeiro: No, no. I guess what I was saying is we had a very strong push a year-ago to reduce working capital for the year-end. And we did not have the strong push this year.
Ivan Marcuse – KeyBanc Capital Markets: Okay. And then if you look at your – the mercury removal that you – these contracts that you have signed, and you mentioned 50%, is that market share or would you expect volumes to rise 50%, I just don’t, I don’t follow you what you said there.
Patrick Prevost: The 50% number Ivan is our share of the North American market.
Ivan Marcuse – KeyBanc Capital Markets: And so if that were to stay how much would you expect your overall volumes to increase next year?
Patrick Prevost: We’re looking at in the long run, so we mentioned that the total mercury removal market is in and around £100 million this calendar year 2014. We believe that sometime in the 2017 period we believe the number will be in the vicinity of £400 million to £500 million, total market.
Ivan Marcuse – KeyBanc Capital Markets: Okay. Then my last question is if you look at 2015 I understand that there’s not a lot of growth and there’s some puts and takes, but nor it should be a pretty swing to the positives. Do you think – should you expect to see EPS growth?
Patrick Prevost: As you know, Ivan, we don’t provide that guidance. What I could is that we’re certainly looking at the strong performance from the max implementation in the Purification Solutions business as well as new products that are coming to market and price increases that we’ve initiated. I would say on the performance materials side we’re continuing to see strong performance into next year, end-markets that we’re looking at such as automotive and construction are coming off of a fairly weak period. So we’re continue to see good potential there. And then if I look at the Reinforced Material, I think we’re going to need to see how over the coming month the global market and the regional markets. At this stage we’re taking a fairly let’s say a stable approach. We’re not sure that the market will grow the traditional expectations of around 3% to 4%. The indications are for the tire industry about 1% to 2% perhaps next year.
Ivan Marcuse – KeyBanc Capital Markets: Okay. Great. Thanks.
Patrick Prevost: Thank you.
Operator: Your next question comes from the line of Jeff Zekauskas from JPMorgan. Please proceed.
Jeff Zekauskas – JPMorgan Chase & Co.: Hi, good afternoon.
Patrick Prevost: Good afternoon, Jeff.
Jeff Zekauskas – JPMorgan Chase & Co.: What are you planning to do with your free cash flow next year?
Eduardo Cordeiro: Well, Jeff, I think the answer that we have typically given is that we put free cash flow towards three or four key things. One is reinvestment in the business which is obviously CapEx.
Jeff Zekauskas – JPMorgan Chase & Co.: All right.
Eduardo Cordeiro: Second, obviously, will be things like dividends, returning cash to shareholders, things like divided and share repurchases. And then the third is obviously to the extent there are growth opportunities, M&A type of opportunities. You’ll see that in the fourth quarter we continued our dividend payment and we were able to buy back small amount of shares. Given that we’ve now strongly returned back to BBB+ credit rating I think we have a bit more flexibility in terms of what we can do. And I think we feel good about that.
Jeff Zekauskas – JPMorgan Chase & Co.: Right, and you sort of – that is if you take down all the debt you’re going to pay down absent, and you – I don’t know you increased your dividend to some degrees. You’re still going to have I don’t know, couple of hundred million at least in free cash flow. So will you build cash on the balance sheet or will you keep your cash more or less where it is and I don’t know, buy back shares with or will you build cash. What are you planning to do with it?
Eduardo Cordeiro: I think we will see how that plays out over the next several months, particularly as it relates to things like working capital, capital investments and those opportunities to return cash to shareholders.
Jeff Zekauskas – JPMorgan Chase & Co.: Okay. In terms of your working capital, I think year-over-year your inventory has went from something like call it $460 million to $500 million and receivables went from $635 million to $686 million, why is that? Or is your working capital efficient now? Or is there room to improve it? And I know you said that you had a big push in the previous year, what led to the pull?
Eduardo Cordeiro: Yes, couple of things, one is we acquired a fair bit of working capital with the NHUMO acquisition and I think we discussed throughout the year. We’ve also built some working capital because of the growth associated with bringing our new Chinese Xingtai facility online. There was some bounce back that took place in the beginning of the year related to the push that happened a year before. So all of those things combined, our working capital days are actually down almost 10% year-over-year. So from a working capital management perspective what we typically do operationally is look at the number of the days and try to manage those.
Jeff Zekauskas – JPMorgan Chase & Co.: Okay. In your Chinese facility, you ramped up the facility through the course of fiscal 2014. What utilization rate did you get to and are there economic benefits to cap it because you’re now at a higher rate of utilization. Maybe, my memory doesn’t serve me right, I think you used to say that it was costing you something like $20 million a year and you should be able to get some benefit, is that a drag reversed?
Eduardo Cordeiro: Yes, I would say that, we have probably gotten it to about 80%ish, I don’t have the exact number. We ramped up relatively quickly and we were able to cover those fixed costs by sometime, I would say, half way through the last fiscal year. I think, we had transitioned from it being negative to being a – not a negative carry.
Patrick Prevost: The plan for the Xingtai ramp up and commercialization was to get to close to full utilization about a year after, after startup. This is what we’ve been experiencing with our operations in China over the years and Xingtai has been following into that frame.
Jeff Zekauskas – JPMorgan Chase & Co.: In Purification Solutions exclusive of the insurance reimbursement, I think this year you lost a little bit more than $25 million on EBIT on call it $320 million in revenues. Why do you lose money? Why isn’t the margin in the business intrinsically better?
Eduardo Cordeiro: Do you want to take it Pat?
Patrick Prevost: You take it.
Eduardo Cordeiro: Jeff, one of the issues – couple of the issues, so obviously we've had a number of operational issues, which we believe are behind us, right. And so we are to be able to get costs in better shape going forward. The second is over the last couple of years, we lost some of the – the mercury removal market actually declined in North America, which I think we’ve been explaining over the last couple of years. As that turns around, the fixed cost absorption becomes much better in the business. We have to deal with some of the asset write-ups, and quite frankly, when you write-up the asset and then something breaks, there is typically a small write-off that's associated with that as well, which contributes to some of the fixed cost issues. So it’s been a bit of a struggle particularly having lost some of the – some of that volume early one and having been hit with the cost issues. So we would expect to start to see some of that get quite a bit better starting in of April 2015.
Jeff Zekauskas – JPMorgan Chase & Co.: So you cut operational issues, but the amount of EBIT that was lost in the fourth quarter was more than any other quarter or about equal to the first quarter. So why was that – why was that the case that the EBIT really hasn’t improved even though your operational issues are smaller?
Eduardo Cordeiro: We typically look at it, Jeff, to try to normalize some for some of the acquisition-related write-ups on an EBITDA basis. But your analysis is not too far off either way.
Jeff Zekauskas – JPMorgan Chase & Co.: Yes.
Eduardo Cordeiro: And so we have been plagued by the cost issues for pretty much the entire year, which is why you didn’t see anything go away in the fourth quarter. When we tell you that we feel like it’s behind us, it’s because we’re looking forward and saying, okay, we think that things are running in a very stable way now, and that we feel pretty good, knock on wood, but going forward, we won’t be having those types of cost issues.
Jeff Zekauskas – JPMorgan Chase & Co.: Will we see that improvement in the first quarter or will that take a longer period of time?
Eduardo Cordeiro: I guess, the way I would like to describe it is, we’ll start to see some substantial improvement coming April of 2015, when we see the volume growth and we get a lot of these issues behind us.
Jeff Zekauskas – JPMorgan Chase & Co.: Okay. And lastly, I think your average prices in your Reinforcement Materials were down. Can you talk about what’s created that? is there a geographic bias to the downward movement in price, is it competitive conditions, is it pushback from the suppliers? Sort of what’s behind the pricing that might have been stronger?
Patrick Prevost: Yes. So Jeff, this is Patrick. I – what we are seeing there is the rapid pass-through of feedstock into the final prices. So that’s the effect you’re seeing there.
Jeff Zekauskas – JPMorgan Chase & Co.: So it’s not really so much of a net downward movement as it is the reflection of raw material price?
Patrick Prevost: That’s correct.
Jeff Zekauskas – JPMorgan Chase & Co.: Okay, good. Thank you so much.
Patrick Prevost: Thank you, Jeff.
Operator: Your next question comes from the line Christopher Butler form Sidoti & Company. Please proceed.
Christopher Butler – Sidoti & Company, LLC: Hi, good afternoon, everyone.
Patrick Prevost: Hi, Chris.
Christopher Butler – Sidoti & Company, LLC: Sticking with Purification as we look at the sequential volume improvement from third quarter, which is typically heavy water treatment quarter to the fourth quarter. What was it that you saw the seasonality kind of working against you a little bit? Where did you see the volume growth sequentially?
Eduardo Cordeiro: In the water and gas and air.
Christopher Butler – Sidoti & Company, LLC: The volume support.
Eduardo Cordeiro: Seasonally, the fourth quarter is stronger in water.
Christopher Butler – Sidoti & Company, LLC: Okay. I'm sorry. I thought that the spring quarter was a stronger water quarter.
Patrick Prevost: No, is a summer quarter.
Eduardo Cordeiro: It’s our fourth quarter or fiscal fourth quarter.
Christopher Butler – Sidoti & Company, LLC: And as we look out to April and the compliance, could you give us an idea of how many coal plants do you think are going to need to comply in April versus – April 2016 versus plants that shutdown?
Patrick Prevost: So the current assessment that we have and we track every one of the utilities in the U.S. is that, we think roughly 60% of the utilities have asked for stay and the delay into 2016. So what we’re currently seeing is that, approximately 40% of the utilities will be requiring activated carbon in April of 2015, and then the remainder will kick in 2016.
Christopher Butler – Sidoti & Company, LLC: And as we look at your Specialty Fluids business looking at your full-year numbers from that for about $37 million of EBIT by my calculation, is that a good starting point to then think about the 10% to 20% adjustment for the rental business, or has that adjustment started already and therefore a little bit heavy-handed with the cut.
Patrick Prevost: I think it’s a good starting point. We have implemented a more strict selection process with regard to which projects we would engage in, we’re going to be favoring, of course, all of the rental type projects, where we think we can minimize the loss of material. We’re certainly believing that stronger conservation approach to the cesium atom is what's required here going forward. It does not change the fact that, the visibility on the projects is still, and the project pipeline is still very dependent on many factors that are not related to the cesium formate. And we're a little bit at the whim of when our customers decide to engage in a completion or drilling phase. So that pipeline right now is slightly weaker, but it can change fairly quickly.
Christopher Butler – Sidoti & Company, LLC: Got it. I appreciate your time.
Patrick Prevost: Thank you.
Operator: Your next question comes from Jay Harris from Axiom Capital. Please proceed.
Jay Harris – Axiom Capital Management: I want to apologize for this question before I go into it. In so many different businesses and I guess, we are at inflection points in many of them. Let me sort of go through the issues and if you like me to pursue it offline, I’d be happy to do that. Carbon black raw material costs crude oils come down some $20 a barrel. Why aren’t – why isn’t cycle oil is getting cheaper? Are we to the extent that you are getting raw materials out of coke ovens, coke activities declined. Fumed metal oxides up especially sort of flattened out why? Inkjet colorants, what were the reasons for the decline in revenues? I know you’re looking for commercial printing to pick that up. Aerogel, what do you see a turnaround in projects? I presume the elastomer composites are on a sort of a steady course of growth and the difference this year is the lack of progress payments. And finally specialty fluids, what does that business capable of sustaining on a revenue basis if your customers are presented to you with the projects? How do you want to handle all of that?
Patrick Prevost: Well, I think we’re going to handle that offline, Jay. But let me just say that, you know, against the – first of all, it’s our business to run these operations and it’s a complex enterprise and we’re paid to manage the challenges but also against all of these challenges we can say that we’ve had a lot of successes. So I do want to remind everyone that we’ve had five years of consecutive EBITDA growth in a fairly muted economic environment. And I would say that this certainly proves that the Cabot team knows what it’s doing, but there were just too many factors here, Jay, for me to engage on and I would suggest that we take that offline because we have limited time this afternoon, if that’s okay with you.
Jay Harris – Axiom Capital Management: That’d be fine, thank you.
Operator: Your next question comes from Kevin Hocevar. Please proceed.
Kevin Hocevar – NorthCoast Research: Hi, thanks for taking my question. Can you – I was just curious in terms of – you mentioned that expect sequentially a softer Reinforcement Materials, is that strictly a volume question or is that also an earnings question, just because I believe that there is a good amount of maintenance typically in the fourth quarter, so just curious if you could – if it’s both or if it’s strictly sales and volume?
Patrick Prevost: So, Kevin, I – so maintenance is going to be kind of in line with last quarter so the first fiscal quarter will be fairly close to the fourth fiscal quarter and in terms of looking at first fiscal quarter we’re seeing potentially lower volumes and I also mentioned that the feedstock savings that we see in the past will not be most likely captured this quarter.
Kevin Hocevar – NorthCoast Research: Okay. And I was wondering too if you could quantify how much these between Reinforcement Materials and Purification Solutions, the one-time kind of raw materials savings that you had on Reinforcement and the onetime issue cost that you had in Purification Solutions?
Patrick Prevost: Eddie, do you?
Eduardo Cordeiro: Kevin, I don’t think we’ve gone as far as to quantify on Reinforcement Materials, raw materials in part because of we view that as a strategic activity for us.
Kevin Hocevar – NorthCoast Research: Okay. All right. Thank you.
Patrick Prevost: Thank you.
Operator: I would now like to turn the call over to Patrick Prevost for closing remarks.
Patrick Prevost: So thank you very much for joining us this afternoon and we’re looking forward to seeing your over the course of the quarter and engaging with you at the – in the next earnings call in January. Thank you very much.
Operator: Thank you very much. This concludes today’s conference. Thank you for your participation. You may now disconnect. Have a great day.